Naureen Quayum: Good morning, everyone. Welcome to the Grameenphone's earnings disclosure for the fourth quarter of 2022. My name is Naureen, I'm the Head of Investor Relations. And with me today are our CEO, Mr. Yasir Azman; and our CFO, Mr. Jens Becker. 
 Please note that the presentation we are sharing today, financial statements, along with additional documents are available on our Investor Relations website. You can start posting your questions. We will address them at the end of our presentation. In case you're unable to post your questions due to any technical reasons, please send me an e-mail or text. 
 I will now welcome our CEO, Mr. Yasir Azman, to start our presentation. 
Yasir Azman: Thank you, Naureen, and good morning, everyone. My name is Yasir Azman, and I am the CEO of Grameenphone. Thank you for joining us for our fourth quarter results announcement for the passing year 2022. 
 I would like to begin with some of the industry facts. As reported by the -- our regulator. Until November, the telecommunication industry reported 180.87 million subscribers, which is a decline by 0.6 million subscribers from August 2022. 
 During the same period, the mobile data users have decreased by 1.3 million. That is reaching to 113.4 million in November 
 [Audio Gap] 
 Some of the highlights of the quarter and the year in 2022 is -- this is a milestone year for Grameenphone. We have reached to 25th year of service to customers and empowering societies in Bangladesh. And in this year, we also participated in the country's largest spectrum auction in March, where Grameenphone secured the maximum allowable 60 megahertz of 2.3 gigahertz spectrum. 
 However, 2022 brought its fair share of challenges, which we'll discuss shortly. Grameenphone continued to deliver top line growth supported by investment in network, strengthened market execution and benefits of organization modernization journey that we have embarked on for the past few years. 
 As a result, with the dedication of the entire team, we showed resilience in overcoming the various external hurdles we faced during the year and remained committed to our priority, improving experience for our customers and creating value for our shareholders. 
 With advanced digital capabilities, we drove innovation in our business and customer engagement. We improved customer experience with partnership and collaboration with Google and Facebook as well as partnerships with a2i and bKash, which is the largest MFS service provider in Bangladesh. 
 In 2022, we have also faced several challenges. During the first half, we dealt with some of the worst floods and rainfalls recorded in the history of the country as Northern Bangladesh was hit the worst case. In an already struggling post-pandemic era, the natural calamity slowed down economic recovery in Bangladesh. 
 And then war between Russia and Ukraine has impact on global energy crisis and subsequent cost increases. And Bangladesh is not out of it. Overall, the inflation level in Bangladesh has gone up, directly impacting the spending capabilities of our customers, causing them to optimize their wallets. 
 In addition to the macroeconomic factors, Grameenphone has faced challenges from the regulatory ban on SIM sales, which was imposed on 29th June 2022 on the basis of not meeting the required quality of service, which has been ultimately lifted on 2nd of January this year. Throughout the year, we have significant uplift to our network quality with high investment and innovative solutions. 
 On 10th of January this year, the FX code of the country passed a verbal ruling on a legacy litigation case related to battery weight on 2G license renewal fee, which disallows Grameenphone's appeal. We will wait until we obtain the written verdict on this matter before we provide any further updates on this topic. 
 Moving on to market execution, which has led to a sustaining growth momentum. We started to deploy the 2.6 megahertz spectrum to our size this year, leading -- in 2022, I mean, and leading to significant improvement and experience enhancement. 
 With continued site rollout, 1900 in year 2022, Grameenphone reached another milestone of over 20,000 sites on our network. 
 In addition to improving our core, we continue to work on customer journey improvement, simplification bringing in convenience and improving engagement with our customers in a very personalized and segmented manner. We continued to revamp our product portfolio, leading to ARPU improvement despite a lower subscriber base. 
 As mentioned earlier, we partnered with tech giant Google to provide seamless telco journey for Android users as well as with Facebook to deploy dynamic partial loan for the subscribers to buy packs they need while using Facebook. 
 Additionally, we launched auto recharge in partnership with bKash and one tip payment solution for increased customer convenience. 
 We are working with our government partner a2i to bring convenient and scalable solutions to our customers while they pay for different government services. Building partnership is key to bring innovation and growth in digital lifestyle. 
 As a result of constant drive on digitalization and customer engagement, digital adoption improved this year significantly, leading to 29% reload volume, a 14.3% year-on-year growth. Additionally, we have recorded a good ARPU uplift from the users of MyGP. 
 Due to the embargo on SIM sales, we registered a 5% lower subscriber base at the end of 
 [Audio Gap] 
 We move on to our activities, while on our social impact projects and empowering societies. Grameenphone's operation have always focused towards ensuring sustainable and fair business practices. We focus on various aspects of encompassing environment, social and governance in our operations and day-to-day interactions with our stakeholders. 
 As a part of our digital inclusion and enablement, as of 31st December 2022, Grameenphone is connecting a subscriber base of 79.1 million customers, of whom 43.6 million customers access Internet and 34.2 million are empowered with 4G high-speed internet connectivity. 
 As an equal opportunity employer, diversity and inclusion are imperative in our way we do business. Our diversity agenda broadly includes gender, skill and competence. As of the fourth quarter of 2022, 30% of our new hires were women while percentage of women in our total workforce reached to 18.8%, and we continue working on this area. 
 As a part of social impact, Digital Bangladesh award-winning initiative, Grameenphone is excited to enter its seventh cohort with 6 graduating start-ups with 10x growth. 
 On now, one of the leading Bangladesh food start-ups and the graduate from GPX later program has launched their official app at the Digital Bangladesh Mela. This year, they also secured investment from Silicon Valley-based venture capital fund. 
 Ipage is another start-up awarded by United Nations Food Systems Summit in 2021 and BASIS National ICT Award in 2022. Also secret multiple investment from national and global venture capital company. 
 CMED Health and alumni and the leading health care start-up was awarded Digital Bangladesh Award - 2022 in an effort for to ensure quality health care for everyone and CMED aims to provide affordable and quality health care to 100 million Bangladeshis by the year [ 2030 ]. 
 We are very proud of these initiatives, our ex letter program that helps our ecosystem of start-up to grow and new initiatives coming to the market. 
 More details of Grameenphone's ESG initiatives as well as performance KPIs are available on our website relations and social impact website. 
 I will now welcome our CFO, Jens Becker, to take you through our financial performance for the quarter and come back at the end to summarize. Thank you. Jens. 
Jens Becker: Thank you, Azman, and good morning to everybody. Let me start with the short overview of the key KPIs. 
 Grameenphone continued to deliver a solid financial performance in Q4 with 7 consecutive quarters of growth in top line and EBITDA amidst the SIM sales ban and the challenging macroeconomic and business environment during the second half of the year. 
 Our top line and EBITDA growth momentum was supported by the acquisition deployment of the new spectrum as Azman mentioned before, our sites rollout, price optimization and customer-centric activity along with improved operational cost efficiency. 
 We registered a year-on-year growth of 4.1% in subscription and traffic revenue against 3.6% growth in last year's Q4, while year-on-year EBITDA growth was 8.2% against 2.6% growth in last year's Q4. 
 In Q4 '22, EBITDA growth was positively impacted by a one-off gain resulting in an EBITDA margin of 65.2% with 2.9 percentage points margin improvement from last year. 
 During the quarter, Grameenphone increased its investment momentum to deploy the mentioned 60 megahertz additional spectrum acquired in Q1 of 2022 in the 2,600 megahertz spend, along with our continued network expansion and our modernization initiatives to improve customer experience. 
 With the continuous investment effort at the end of Q4, GP's CapEx to sales ratio for the quarter stood at 11.5% based on the 4-quarter moving average while on a stand-alone basis for the quarter, CapEx to sales ratio for the -- stood at 13.3%. 
 However, despite solid growth in top line and EBITDA, Grameenphone registered a year-on-year degrowth in EPS. The degrowth in EPS, earnings per shares, mainly resulted from taking provision for regulatory dispute following relevant International Financial Reporting Standards based on the available information of the verbal judgment in court proceedings. 
 Upon receiving the written judgment, Grameenphone will take the necessary steps subject to further assessment, and I'll come back to this later. 
 On a reported basis, EPS for the quarter, therefore, stood at BDT 2.75 with a degrowth of 54.5% from last year while for the full year, EPS degrow by 11.8%. 
 Now let me start with the details and starting with the subscriber base. Grameenphone subscriber growth has been impacted throughout the quarter due to the reinforced SIM sales restrictions on recycled numbers during the quarter. However, GP was actively engaged with the regulators and met the expected parameter for quality of service as specified by the regulators. As a consequence of all our efforts, the regulator has uplifted the SIM sales restriction on 3rd January 23. 
 However, at the end of Q4 '22, Grameenphone subscriber base decreased by 5% from last year to 79.1 million, while the number of data users decreased by 2.2% year-on-year to 43.6 million. 
 Despite having degrowth in our subscriber base in Grameenphone's 4G data users continued to grow and reached 34.2 million with 23.6% growth from last year. This was possible because of our continued effort to enhance the 4G network experience. 
 Grameenphone subscription market share also got impacted as subscriber acquisition was restricted until December '22, So according to BTRC published information as of November 2022, GP subscription market share stood at 44.4%, with a 0.8% lower compared to last quarter. 
 Next page. Grameenphone registered 7 consecutive quarters of growth in total revenue and daily subscription and traffic revenues. Total revenue grew by 3.5% in Q4 after a 6.7% growth in the last quarter. The growth in total revenue slowed down in Q4 as subs and traffic revenue growth momentum was impacted due to the accumulated impact of no gross add for 6 months and the tense macroeconomic environment. 
 The growth in total revenue was mainly driven by the 4.1% growth of subscription and traffic revenue due to the growth in bundle and data. 
 Turning to the revenue details. As customer experience is always put first Grameenphone in order to meet the growing customer demand and improve network performance, GP invested in spectrum acquisition over the course of 2 years. In addition, Grameenphone kept providing exclusive data-only products, customer-focused package deals and improved digital experiences. 
 As a result, compared to last year, data revenue and bundled revenue increased by 11.9% and 2.6%, respectively, which contributed to 4.1% growth in subscription and traffic revenue. 
 Next slide. As said before, Grameenphone reinforced its value proposition with their dealing market offers underpinned by ongoing spectrum rollout and 4G network development to ensure better customer experience. As a result, GP's average megabyte per user grew by 38.8% from last year. However, quarter-on-quarter data usage growth remained stable due to lower data subs as a result of SIM sales restriction. 
 On the other hand, service ARPU increased by 7.9% in Q4 after 5.9% growth in the last quarter. The growth in service revenue -- service ARPU was mainly driven by higher contribution from data bundle and as well the voice segment. 
 Now turning to the bottom line results. Grameenphone managed to deliver consecutive 7 quarters and growth in EBITDA despite having a challenging business environment and tense macroeconomic situation during the second half of the year. 
 On a reported basis, Grameenphone phone's EBITDA increased by 8.2% in Q4 with a margin of 65.2%. The year-on-year growth in EBITDA was mainly contributed by top line growth of course and a positive one-off negotiation outcome with a related party supplier as well as efficient cost management. Excluding the significant one-off effects in Q4 '22, EBITDA would have increased by 1.5% year-on-year. 
 OpEx for the quarter stood at EUR 11 billion with a year-on-year 0.9% degrowth on a reported basis impacted by the mentioned positive one-off negotiation outcome with a related party supplier.
 Next page. GP invested BDT 5 billion CapEx, excluding license lease in RO during the quarter, focusing mainly towards our 4G network coverage expansion and spectrum deployment. GP rolled out 2,300 plus new 4G sites and 1,700 new coverage sites in the last 12 months. In addition, as of Q4 '22, GP deployed 10.4 megahertz spectrum in more than 18,000 plus sites, along with deployment of 60 megahertz spectrum acquired in 2022. At the end of the quarter, the number of 4G sites reached 19,601. 
 During the quarter, 4G population coverage reached 97.9% with 1.1 percentage points increase from last year, which was 96.8% 4G population coverage in Q4 '21. 
 Turning to net profit. Net profit for the quarter stood at BDT 3.7 billion, with a margin of 9.9%. On a reported basis, the year-on-year 54.5% degrowth in net profit mainly resulted from higher finance costs due to taking provision for a regulatory dispute following relevant IFRS based on the available information of the verbal judgment in the court proceedings, along with currency devaluation and higher depreciation. 
 On an underlying basis, NPAT degrew by 6.5% year-on-year, mainly driven by higher ForEx loss due to currency devaluation and higher depreciation and interest on leasing liabilities due to an increased total network site and spectrum position. 
 Next slide. Net debt stood at BDT 1.8 billion as of Q4 '22, in combination of BDT 5 billion short-term bank loan and BDT 3.2 billion cash balance, excluding the restricted cash. Compared to previous quarter, net debt position improved by BDT 7.1 billion, mainly due to BDT 8.7 billion reduction in short-term loans. 
 Operating cash flow for the quarter stood at BDT 19.5 billion, with a year-on-year BDT 3.4 billion growth in combination of BDT 1.9 billion higher EBITDA and BDT 1.5 billion lower CapEx. 
 Regarding contribution to the National exchequer, till Q4 '22, GPS paid BDT 10.3 billion, equaling a 69.3% of its total revenue to the National exchequer in the form of taxes, VAT, duties, license and spectrum assignment fees. And since inception, GP contributed BDT [ 1,061,106,076 ] crores to the national exchequer.
 Now coming to the dividend proposal. The Board of Directors of Grameenphone have recommended BDT 9.5 per share as final dividend for 2022 at the Board meeting held on 30th January 2023. With this, the total cash dividend stands at 220% of paid-up capital including 125% for the interim cash dividend, which represents 98.72% of profit after tax for the year 2022. 
 The shareholders as of the record date of 26 February 23 will be entitled for its final dividend, which is subject to shareholders' approval at the 26th Annual General Meeting to be held on second May 2023. I will now hand back to Azman to summarize and to wrap up. Thank you. 
Yasir Azman: Thank you, Jens. The first 9 months of 2022 registered momentum, as you highlighted, with increasing trend driven by higher usage and revenue and a strong market execution and strategic focus on network investment to improve our customer experience. 
 We have obviously faced external challenges from the macroeconomic climate and regulatory environment, which have dampened our top line performance. However, with a strong teamwork, Grameenphone remains committed to delivering value for our customers and shareholders. And we continue our investment to develop even a stronger network, innovation and modernization initiatives that will help us to cater to the constantly evolving connectivity needs of our customers, both in consumer and business segments. 
 I will stop here, and I will hand back to Naureen for a Q&A session. Thank you. 
Naureen Quayum: We will wait a few minutes for questions to start coming in. 
 Jens, I have a question for you. This is from IDLC. Why did your earnings crash in the last quarter? 
Jens Becker: Okay. So let me take that. So despite that you have seen, we have a solid growth in top line and EBITDA, we have registered a year-on-year degrowth in EPS. The degrowth in EPS is mainly due to the event on 10th January '23, as Azman has mentioned, the Honorable Appellate division, the AD Court, has verbally pronounced the judgment of the 2G license renewal dispute, is allowing the appeal of Grameenphone and allowing the appeals of the national of revenue NBR which means that value-added tax will be applicable for payments to Bangladesh Telecommunication Regulatory Commission, BTRC. 
 In addition to the principal, and Grameenphone will not get rebate for the set input VAT. Based on the verbal judgment, the necessary provisions has been made following the relevant International Financial Reporting Standards. And upon receiving written judgment, Grameenphone will take necessary steps subject to the further assessment, including for the relevant parts of the BTRC audit demand, which consists this issue, and details are disclosed in Note 45C in our financial statements. 
 Besides this, the NPAT growth further was impacted by the currency devaluation and higher depreciation. 
Naureen Quayum: As I have a follow-up to this question. Is it? Or will there be more provision to come on this topic? 
Jens Becker: Yes. It has mainly increased for the provision of the regulatory disputes. And we have to see now how the written judgment, that word pronunciation has no explanation. So we need to wait for the written judgment to assess this further. Too early to say now. 
 For these topics on the provisions, just to add you also, we have some more details on the financial statements in Note 21. 
Naureen Quayum: Thank you, Jens. We will wait a few more minutes for any further questions to come in. I understand everybody is asking us the same question, so we should have answered everyone on the same go. 
 And I have a follow-up question to the provision. Can we share the exact amount? 
Jens Becker: As mentioned before, we have the more details 45C and 21. 
Naureen Quayum: We have another question. Any impact of inflation on telecom usage? 
Jens Becker: No, obviously, the, that's what we said on the macroeconomic -- tense macroeconomic situation. Of course, there's inflation. And of course, we also see that spending of consumers gets impacted by it. But you see that we also had good -- in our usage, a good pattern out of it. So on telecom's usage, there will be impact, there is an impact, but as you can see, we have overall growth and also we are able to monetize on the ARPU. 
Naureen Quayum: Jens, we have a final question. Why is the FX loss substantially higher in Q4, even though depreciation mostly happened in Q2 and Q3? What is the major source? 
Jens Becker: Yes. Let me answer. I think, I'm not sure if I fully understand the question, but for the FX loss, actually, this is a year comparison not quarter-on-quarter, I understand. But any help for the depreciation, we started with the acquired spectrum, the capitalization. So this is why there's a higher depreciation. And of course, the BDT devaluation year-on-year resulted in the higher FX loss. 
Naureen Quayum: Thank you, everyone. I do not see any further questions. But in case we have missed your question today, please feel free to get in touch with me. Thank you Azman bhai and Jens, Have a good day.